Operator: Welcome to the USANA Health Sciences third quarter earnings conference call. (Operator Instructions) I would now like to turn the conference over to Riley Timmer, Vice President of Finance.
Riley Timmer : We appreciate you joining us to review our third quarter results. As a reminder today’s conference call is being broadcast live via webcast and can be accessed directly from our website at www.usanahealthsciences.com. A replay will be available on our website shortly after this call. Now, before I turn the call over to Fred, I remind you that during the course of this conference call management will make forward looking statements regarding future events or the future financial performance of our company. Those statements involve risks and uncertainties that could cause our actual results to differ perhaps materially from the results projected in those forward looking statements. We caution that these statements should be considered in conjunction with the disclosures including the specific risk factors and financial data contained in our most recent filings with the SEC. Also, during this call management will discuss non-GAP information. We provide non-GAP measures to assist investors in understanding our operating performance. I’ll now turn the call over to Dr. Fred Cooper our President and Chief Operating Officer.
Dr. Fred Cooper : Here I am pleased to be joining with Mark Wilson, he’s our Executive Vice President in North America. I have Jeff Yates to my left. He’s our newly promoted Chief Financial Officer and you’ll hear from him when I am finished. I want to begin with reviewing a few announcements that we’ve made over the last few months at USANA. First on July 24th we announced the dismissal with prejudice of our shareholder class action lawsuit. Which we were very pleased to have happen. Next on July 28th we also announced to you that we had settled our outstanding lawsuit with [Barry Nimcal] and this settlement required [Mr. Nimcal] to remove all the information he had related to USANA from his website and other places on the internet. It also precludes him from making any further disparaging public statements about USANA which should be a very, very beneficial help to our associates in the field. Finally, on October 2 we announced that our distributor class action lawsuit had also been sniffed. Now I want to point this out because I think it’s very rare for a public company such as ours to find favorable dismissals in one significant lawsuit over a year’s time let alone the three that we’ve had. The favorable outcome in each of these suits is a direct result of the strength of USANA’s position in each of these lawsuits and ultimately I believe it’s the character and integrity of our company. We’re confident that the dismissal of these suits will make it easier for our associates to enroll new customers. Once they once again efficiently grow their, once again they want to efficiently grow their home based business. Turning to our third quarter operating activities, the third quarter was highlighted by another successful international convention which we held here in Salt Lake City. This event is our most significant corporate sponsored event that we hold annually and we spent four days training, motivating, celebrating and recognizing all of our associates here. Over 7,000 associates were in attendance and we made several exciting announcements. The most significant announcement that we made were related to our new associate compensation plan enhancements. The first enhancement is directly aimed at our top 25 earning and growing associates. We call this new enhancement the “elite bonus.” This bonus is designed to deliver an additional 1% of sales volume points which translates to about eight tenths of a percent of net sales to our top associate leaders. We think that this bonus is going to motivate our top 75 business leaders to grow their business through urgency since its paid quarterly and good old fashioned competition between them. The second enhancement rewards all business minded associates and we call this new enhancement our matching bonus. The goal under this new program is to create other business builders or as we call them platinum pace setters. As an associate if you enroll someone who becomes platinum pace setter, you qualify to earn a matching bonus on any commission that they earn in their first 32 weeks after they have been enrolled with USANA. Depending on your personal status these new enrolling associates can earn anywhere from between 25 to a 100% match on any new platinum pace setter that they create. To maximize the effects of this new enhancement for both new and existing associates we held a prequalification period which allowed existing associates a second and final opportunity to achieve platinum pace setter status. This chance to re-qualify as a platinum pace setter generated a lot of excitement with our associates. In fact, sales and enrollments in the last couple of weeks of the quarter were near record highs for us. We believe that by increasing these incentives for our business model minded associates we will be more competitive in our market in relation to other direct selling companies and instill a sense of urgency with those new to USANA. Further at convention we announced our operations in the Philippines beginning in the first quarter in the 2009. This is going to be the company’s 14th market. And, we find the Philippines to be very promising for us. Many of our associates have strong ties in the market and additionally according to the direct selling association of the Philippines annual direct sale revenues total about 500 million. Making it one of the 25 largest markets globally for direct sales. In addition to these announcements we also launched new products. We introduced two new energy drinks, our Rev3 energy and Rev3 energy surge pack. Rev3 energy comes in a ready to drink 12 oz can and the surge pack it comes in an individual six pack which are conveniently mixed with water. These products were developed to be a health alternative to energy drinks that are loaded with sugars and artificial flavors. USANA has a growing number of GenX and GenY associates who are actively growing their businesses and who feel that they are at, these have been the individuals that have been asking for this type of product. We feel that there is a significant opportunity in this growing demographic to gain market shares. Overall we’re very pleased with the results of this year’s international convention and we’re optimistic that these improvements and additions will foster for us additional sales and future growth. I would now like to talk about our regional sales results. In North America sales were down 3% year over year. This decrease was mainly due to lower sales in the United States where the number of active associates declined by 3.2% year over year. However, the good news is active associates has increased by 7% in the U.S. compared with the second quarter. As our more mature market, we are encouraged to see the number of active associates increasing in the United States. Let’s now discuss Asia Pacific. Year over year sales in these regions grew by 7.6%. The growth was led again by Hong Kong which was improved by 39.1% over the third quarter of last year and Malaysia which increased by .2%. Active associates in the Asia Pacific regions increased by 8% compared to the same quarter last year 11, now this compares to I’m sorry second quarter active associates which increased by 11% with a 26.7% increase in Hong Kong, a 15.4% increase in Malaysia, and a 10.5% increase in Australia New Zeeland. By making significant investments in our associates, through two compensation plan enhancements, we believe that we will appropriately position our sales growth and to continue to increase our profitability. So with that note I would like to turn the time over to Jeff Yates, our CFO.
Jeff Yates : Before I begin I would like to make a brief comment in tribute to Gil Fuller who just retired from USANA as Chief Financial Officer. The setting we share this morning is important to him. He has served this company's stakeholders for many years with integrity and professionalism. He is a fine man and it is an honor for me to follow in his footsteps. Now, to our third quarter results net sales for the third quarter were 107, excuse me, $107.2 million. An increase of .9% compared with $106.2 million reported in the third quarter of 2007. The slight increase year over year was primarily the result of growth in our East Asia region, driven by associate incentive programs. Comparing sales results to the second quarter 2008, we reported a decrease of $2 million or 1.9%, it’s important to note that the third quarter is seasonally our softest quarter. We know that many associates take advantage of their home based businesses by vacationing with their families during the summer months and also traditionally associates also hold off purchasing in the weeks just prior to our annual convention in anticipation of new products introductions. Other factors that suppress sequential quarter sales by approximately $4 million include volatility in certain foreign currencies and deferred revenue. As a U.S. based multi national company for years our top line has benefited from a weakening U.S. dollar. In contrast to prior quarters when sales benefited from changes in foreign currencies net sales in the third quarter were reduced by $1.9 million on a sequential quarter basis due to a stronger U.S. dollar. Additionally as a result of the four week recall qualification period described by Fred, a large number of orders were received at quarters end. Unfortunately with the large increase in orders, we were unable to ship all of these products before the end of the quarter thus $2.1 million in revenue will flow into the fourth quarter. Our gross margins for the third quarter of 2008 was flat to last year at 79.3% of sales. Speaking now of earnings. Third quarter earnings per share continue in operation for $0.50 a decrease of 28.6% compared with $0.70 per share in the same quarter of last year. This is the result of higher overall operating costs which can be explained by the following. Associate incentive expense was 41.6% of sales compared with 40.5% in the third quarter of last year. This increase of 110 basis points is due to a higher pay out rate of base commission, an increase in the amount paid for contests and promotions and increases related to compensation plan changes described by Fred and announced at our annual convention. With these enhancements we believe that associate incentives going forward will run about 42.5% of sales. Selling, general, and administrative expenses increased to 25% sales compared with 21.7% in the third quarter of the prior year and this increase was due primarily to the following. First, an increase in staffing and higher executive salaries totaling $1.9 million, second, an increase in depreciation expense of nearly $500,000, rated the expansion of our facilities, third equity graphs made in July of this year which increased our rebate compensation expense by about $500,000 and fourth we incurred additional expenses in the third quarter related to the tender offer adding nearly $900,000 to SG&A which represents about $0.04 per share. Please note that we do not anticipate any additional expenses relating to the tender offer and finally, fifth, income taxes, excuse me income tax rate increased to 33.6% of earnings from operations compared to 31.4% for the same quarter in 2007. This higher tax rate is attributable through a decrease in tax benefits when compared to last year. For the fourth quarter we expect SG&A to be down both in relative terms and in absolute dollars. Turning now to the balance sheet, cash at the end of the third quarter was $13.7 million compared with $12.9 million at the end of 2007. Over the past couple of years we have made significant investments in our facilities and infrastructure to address growth and to prepare for anticipated future growth. Capital expenditures for the quarter were about $3.5 million, which brings our year to date total to just over $15 million. These expenditures were primarily for our new facilities in Salt Lake City and Australia. These facilities are essentially now complete. We expect capital expenditures to now return to a normal run rate of approximately $2 million per quarter. During the third quarter we purchased 809,000 shares in the open market investing $28 million. Currently we have about $22 million available under our share repurchase authorization. In addition we ended the quarter with a balance of $30.7 million on our line of credit. Now before we open the call to your questions I would like to comment on our guidance. We now expect net sales for 2008 to be between $432 and $438 million and earnings per share to be between 222 and 228. Accordingly we expect fourth quarter of 2008 to reflect record sales of between $114 and $120 million and earnings per share to be between $0.64 and $0.70 per share. This earnings per share estimate is, of course, based on effective tax rates of 35%. With that I’ll now ask Operator to facilitate our question and answer session.
Operator: (Operator Instructions) Our first question comes from the line of [Simian Dutman] – Goldman Sachs.
Simain Dutman: A couple of questions, first, on the matching promotion, you mention in the remarks that some of the sales probably were pushed into the second quarter, does that reflect just what was happening at the last minute or was there some additional because I think the window that people can sign up expanded by about a week. Was there even more business that came through in that week, that wasn’t included in that bucket that you just mentioned earlier?
Goldman Sachs: A couple of questions, first, on the matching promotion, you mention in the remarks that some of the sales probably were pushed into the second quarter, does that reflect just what was happening at the last minute or was there some additional because I think the window that people can sign up expanded by about a week. Was there even more business that came through in that week, that wasn’t included in that bucket that you just mentioned earlier?
Jeff Yates : Yes, indeed we had a slight [inaudible] coming into the last week to week and a half of the third quarter with the rush, largely in the last couple of days. We did see a continuing increase in enrollment of significance going into the first quarter, excuse me, the first week of the fourth quarter. So the answer to your question is yes.
Simain Dutman: And, relative to your expectations, for your existing distributor population in terms of re-qualifying, with that one time recall window, were you pleased with that response?
Goldman Sachs: And, relative to your expectations, for your existing distributor population in terms of re-qualifying, with that one time recall window, were you pleased with that response?
Mark Wilson : Absolutely, if when you think about this was an equal opportunity those at the aggressive builders probably already did the qualification when we offered the platinum pace setter life time program here a little over a year ago. So we did not anticipate as many people that actually did so this is a very encouraging trend for us to see the individuals that found this as important and especially with the new bonuses that Fred talked about, there is a whole new interest in being qualified as a platinum pay setter. And I imagine this system, I think the matching bonus, it probably works really well as long as the success of generations of people who come in I guess continue to strive to get their people in so that they can match. You know, how do you ensure that success? I know that you have the convention which probably, you know, effectively rallied the existing population but then how do the people who are just coming into the business stay very motivated at the same level of energy that the existing population probably brought those people in with?
Mark Wilson : Great question, that's the key. The key is the duplication or leverage that we hope to gain off of this and that's the whole basis behind the matching bonus is we, and I think it will take some time with any change to get people to understand the new bonus, how to leverage this, how to use it in their business in building. We've changed our presentation so that they're talking about this, we've created a video for people to help them understand this, it's in all the different languages so they have access to kind of better explain the matching bonus and the power of this as well as it's an ongoing education with this new program. So those new people will give us the opportunity to push to have them become platinum pay setters.
Simain Dutman:
Goldman Sachs:
W:
Fred W. Cooper: First of all, in the economy, there's two aspects to this economy. The first one is on preferred customers. Certainly there's going to be pressure on preferred customers as they concern themselves with the economy on purchasing and buying a product. So from that aspect you're going to see downward pressure on preferred customer enrollment because they're going to be a little less likely, a little nervous to have discretionary spending income for our nutritional supplements. On the associate side there will be upward pressure we anticipate because now alternative means of making income becomes available to them. [Inaudible] I think that's why you're getting off a little reflection in the number of our current active associate accounts going up.
Simain Dutman: And Fred, maybe in the past have you looked at during a tougher environment, you know, preferred customers who have left, do you see preferred customers eventually coming back? Just thinking about this, let's say 12 months from now, where the recruiting drives the bulk of the business today but some of the preferred customers who like the product just can't pay for it then come back in the business and then the business is stronger for it. Do you know what the, I guess the comeback rate would be from the preferred customer side?
Goldman Sachs: And Fred, maybe in the past have you looked at during a tougher environment, you know, preferred customers who have left, do you see preferred customers eventually coming back? Just thinking about this, let's say 12 months from now, where the recruiting drives the bulk of the business today but some of the preferred customers who like the product just can't pay for it then come back in the business and then the business is stronger for it. Do you know what the, I guess the comeback rate would be from the preferred customer side?
Fred W. Cooper: Yes you saw that we have classified our associates and our preferred customers into classifications. We have those that are actively building the business which is a fairly small proportion of our total associate base then we have some that are new just pursuing where we haven't identified whether they're just total product consumers or business builders. Our third group are associates who are really nothing more than preferred customers and our last classification are for the preferred customers themselves. In each of these groups there are buying habits associated with them and in those buying habits we find that in both the classification of associates really acting as preferred customers and preferred customers themselves do purchase on an irregular basis. However, if that length of purchase goes much beyond a year they are not likely to repurchase unless they are approached again by our associates. And to that end from time to time we offer what we call win-back campaigns in which case we try to send out messages to entice our associates to re-contact these associates that are preferred customers as well as the preferred customers and entice them to buy again.
Operator: The next question comes from Doug Lane – Jeffries & Company.
Doug Lane – Jeffries & Company: Question for you, it's kind of a follow-up, clearly you're happy with the re-qualification enthusiasm among your distributors. Can you give us any kind of early characterization of the subsequent recruiting effort, on plan, above plan, too early to tell?
Mark H. Wilson: I will tell you from – coming out of convention has been probably one of the most exciting moods of our associates in many years. I've been in this company 12 years, this has probably been the most excited that I've seen our leaders as well as many of the associates who now have a new hope with the matching bonus to kind of put a little more in their pocket as they're getting started. And it also encourages retention as we're trying to drive good behavior to help people become successful, both people win. So there's, and the urgency to get off to a big start there early on with the new people to push them to become platinum pay setters is all very, very encouraging, certainly the lead bonus at the top-end I think as Fred said the good old fashioned competition among some of our top leaders will be encouraging. So there's a great deal of excitement and anticipation out there, we realize it's going to take a little time to get some traction because with any change it takes time for people to figure out how to use this, how to take advantage of it and how to incorporate it in their business, in their presentations etc. The economy, it's been an interesting thing because we've had some people ask questions about, well can I really build a business? But we've seen a real increase in interest recently with even some of our, what I would consider quasi retired or slowed-down associates who were not active, who have not been actively building are now going back and building because there is an interest in finding alternative means of income like Fred's saying. And people minds are much more open to the business side all of a sudden in these kinds of times because they're worried about their financial future.
Doug Lane – Jeffries & Company: Okay. I'm mean, looking at your fourth quarter outlook you have sales higher than last year, is it looking like the associate count should be higher than last year as well?
Mark H. Wilson: I would say yes.
Doug Lane – Jeffries & Company: Okay and can you give us a little run down briefly on your thoughts about currency with the currency markets being so volatile and, you know, you saw the swing from the second quarter to the third quarter turn negative. What are your top most important currencies and how should we think about – where kind of a base case is for them in the fourth quarter based on your guidance?
Jeffrey Yates:
C:
Doug Lane – Jeffries & Company: So we should just maybe take a look at what current spot rates are and assume that any deviation from there will be a plus or minus as we move through the quarter.
Jeffrey Yates: As will we.
Operator: Our next question comes from Rommel Dionisio – Wedbush Morgan Securities Inc.
Rommel Dionisio – Wedbush Morgan Securities Inc.: Early in the year I think you guys talked about some supply chain improvements that you were putting in, I think some high speed filling and packing lines and I wonder if you could update us on the progress of that. And if I remember correctly that was supposed to be done by the summertime, are you on track with that and if so were there any cost-savings in the third quarter that you saw from that?
Fred W. Cooper: Let me answer that, yes we put in a pick-pack system for improving the accuracy of our picks and the reduction in our labor. That was completed and has been installed. We had a few, you know, we had a few little glitches on initial shipping orders going out on a delay but none of the orders were missed or delayed beyond three or four days but we noted it to our field since we're really, you know, kind of big on perfection. That now has been stabilized, running just find on our line. And we kept them a little bit longer than we had anticipated in the second quarter in our additional labor headcount to assure that we got the packages out in a timely manner. So now you will see a reduction in that department on headcount. The savings that we anticipated when we did the initial ROI will be confirmed.
Rommel Dionisio – Wedbush Morgan Securities Inc.: Okay and Fred is it fair to say that you did not see a full quarter impact of those cost-savings in the quarter you just reported?
Fred W. Cooper: No.
Rommel Dionisio – Wedbush Morgan Securities Inc.: You did not. Okay.
Operator: Our next question comes from the line of Timothy Ramey – D. A. Davidson & Co.
Timothy Ramey – D. A. Davidson & Co.: Fred, as you were looking at the top 25 and the elite bonus, I realized that the top 25 sort of are the company, but is there any way to talk about rates of change among the top 25 or signs that there might be acceleration of activity there?
Fred W. Cooper: Yes, if I understand your question correctly, our top 25 in some ways are the company in terms of they are someone’s down line. If I look at all the Fortune 25’s down line, it represents the majority of the entire organization, true. But in each one of their own individual spending, is fairly insignificant to the total company involvement. The best way to look at that Fortune 25 in the elite bonus impact will be how much jockeying of positioning is going on in the Fortune 25 as a result of the elite bonus. That will be the best indicator that the competition for that elite bonus in the top 25 is having a significant impact. For those associates in the top 25 that are not building their business, they will watch their relative position in the 25 fall. The elite bonus, one of the details is you are paid based on your rank in that 25th position and your growth quarter over quarter. Those that are kind of relaxing and not building their business with as much vigor as others, will eventually replace them. They will move out and our elite 25 will be those individuals that are building the fastest business for USANA.
Timothy Ramey – D. A. Davidson & Co.: Are you seeing evidence of that kind of jockeying for position yet?
Fred W. Cooper: There’s a lot of talking about the importance and getting into it, and already—we track this on a week by week basis and already on a weekly basis we can see people moving in positions. In the short run, there are very positive indications that it’s being effective, but the long run will be the one that ultimately tells how effective it is.
Timothy Ramey – D. A. Davidson & Co.: Two questions for Jeff. Did you say what your legal expense was in the quarter? If you did, I missed it. I’m sorry.
Jeffrey Yates: I did not. In total we are, what was it, a little over $900,000.
Timothy Ramey – D. A. Davidson & Co.: It would be fair to characterize legal expenses $0.08 or $0.09 cents a share, is that right?
Jeffrey Yates: I’m sorry yes, Tim, we were 1.4 relative to a tender offer in other lawsuits which will not occur.
Timothy Ramey – D. A. Davidson & Co.: Okay, so that’s terrific news. I’m wondering if there’s any impact on auto ship from banks pulling in credit lines on credit cards? It might be too early to tell on that, but have you seen any evidence of that?
Jeffrey Yates: Not up to this point.
Operator: Our next question comes from the line of Amy Greene – Avondale and Partners.
Amy Greene – Avondale and Partners: I just wanted to see if you could give us some idea of what kind of traction or progress your new products are making relative to the goals that you set for them?
Jeffrey Yates: Regarding the new products? I want to make sure I understand that question correctly.
Amy Greene – Avondale and Partners: Yes, the new products, the Rev3 and then the new versions of the Nutrimeal, etc.?
Jeffrey Yates: Sure, we’ve seen some very encouraging response to this. The new Rev3 especially, with offering a cleaner, healthier, stronger alternative which the results so far are very, very encouraging that we’re on to something with this. It’s kind of a fun, new, exciting product to talk about. We think this is also going to be a way to open doors to people instead of the nutritional focus upfront, and so a lot of folks are already telling us this is a kind of icebreaker for the conversation. We think if we can leverage that right and have some fun with this, this can be a real door opener for us. Now, as Fred mentioned also, we have a young generation, the new GenY, Gen Xs that are coming in here. In fact, I was just in a meeting this last week in Anaheim where we’ve probably had, out of a thousand people, 600 of them were 18 to 24-year-olds. They’re very, very excited about this product because this is a very high consumable item for that age demographics, and so we think this will also encourage that market to continue to grow and look to USANA as their opportunity.
Amy Greene – Avondale and Partners: Have you seen any push back, I know the cans in particular seem to have a pretty high price point. Has that been accepted okay within the ranks?
Amy Greene – Avondale and Partners: It certainly needs to be explained and that is some of the things we’re looking at. We’re hoping as we gain economies of scale on some other things, that we can continue to look to deliver the very best value we can in both the cans and the stick packs. But, when you understand that it lasts twice as long as any other energy drink there, because you don’t have the crash in a typical energy drink normally give you. With ours, it maintains it, and so people are noticing a big difference and they’re seeing the value there, so it hasn’t been too much of a problem yet.
Operator: Our next question comes from Amy Noel – Fidelity and Company.
Amy Noel – Fidelity and Company: Jeff, you’re probably aware that you had a long term operating margin objective of about 18%, be it officially or unofficially. To what extent do the compensation changes undermine that? To what extent might you back that or back away from the legacy objective?
Jeffrey Yates: No, not necessarily. Well, we anticipate an increase on the overall cost on the compensation, and particularly through equity-based compensation. The leverage that we anticipate from these plant enhancements and other sales efforts should more than compensate for that, and the objective on that operating margin would remain appropriate going forward.
Amy Noel – Fidelity and Company: Good, and then two housekeeping questions, somewhat related. What was the stock based compensation in the third quarter, either pre-tax or after tax?
Jeffrey Yates: Pre-tax, $2.1 million.
Amy Noel – Fidelity and Company: 2.1 pre-tax?
Jeffrey Yates: Yes.
Amy Noel – Fidelity and Company: And then the last question, if you don’t mind, would you review with every purchase activity that you went over in the third quarter?
Jeffrey Yates: Yes, just commenting there on, we purchased 809,000 shares for a total of about $28 million. Average share was mid 30s? Did that answer your question, Amy?
Amy Noel – Fidelity and Company: I’m sorry, you cut out after average share.
Jeffrey Yates: Let me just repeat, 809,000 shares, $28 million purchase, average price was in the mid 30s.
Amy Noel – Fidelity and Company: And what is the balance that remains?
Jeffrey Yates: On our repurchase authorization?
Amy Noel – Fidelity and Company: Correct.
Jeffrey Yates: Twenty-two million.
Jeffrey Yates: We continue to remain confident and very optimistic about the future of USANA and of course the investment opportunity that we provide. If you’ve got any remaining questions, please feel free to contact us at investor.relations@us.usana.com or call Patrick Richards in Industrial Relations at 801-954-7961. I appreciate your interest in USANA. Thank you again for joining us this morning.